Line Dovarn: Good morning, and welcome to Munters' Q3 presentation for 2025. My name is Line Dovarn, and I'm Head of Investor Relations, joined here with -- by Klas Forsstrom, our CEO; and Katharina Fischer, our CFO. We will begin with a presentation of today's results, and we will then kick off the Q&A session. So if you do have questions from the webcast, you can post these questions throughout the presentation by using the chat function below, and we will address them at the end. So Klas, let's go.
Klas Forsström: Thank you, Line. And once again, good morning, and very much welcome to this Q3 report. Let me start, as always, to give you some summarizing a few words of the quarter that has passed. A very strong order intake and invoicing complemented with robust profitability in an operating working capital development that pleases me very much. Data center technology in FoodTech, very well positioned for continued strong growth in the years to come. That thanks to the strategic decisions we made and the execution on those decisions. We see solid underlying demand drivers of both business areas, data center demand and the digitization of the food supply chain and our offer is very well fit to capture this growth. AirTech in general is meeting a continued tough battery market and a generally tight industrial investment climate in U.S. and EMEA. To offset these headwinds, we are resetting AirTech to be better fit for the future. They will be well positioned to capture growth when the demand returns with modern factories, continuous sharper R&D and a clearer commercial drive across several sectors. Yet Munters are creating a business with several legs to stand on in a world of continued tariffs, geopolitical tensions and general unpredictability , so this makes us well equipped for continued growth and market share gains. So over to the quarter then that has passed. Strong growth and solid profitability. That is what I think is the headline of the quarter. And drilling into the different components of this. Order intake a 57% increase. If I deduct the currency, it is 70% growth in comparable currency. AirTech showing growth, positive development in APAC and to some extent in Americas when it comes to order, Data Center Technologies increased, continued strong demand in Americas. And as you later will see also margin improvements and market gains in Asia as well. FoodTech, increased as well, solid demand in Americas, EMEA. Toward the backlog, 2% smaller backlog, but compensated to currency actually adjust 4% up. This has mainly been driven by Data Center Technologies. And the orders we receive now that brings us into 2026 and 2027, a pleasing book-to-bill of 1.1. Moving over then to net sales, 17% up, 9% currency, so that would end up in 20% in comparable currencies. AirTech, here, it declined, lower sales across all regions. Data Center Technologies, continued increase, successful execution on the backlog and also FoodTech increased and were driven mainly by controllers in this quarter. Very pleasing to see controllers, an area that we have allocated a lot of more resources into. Solid profitability, as I said. EBITDA margin of 13.5%, driven by DCT, the volume growth, production efficiency, still pleasing product mix and continuous lean improvements. FoodTech, strong contribution, although impacted by continued investments and to some extent, the product mix, as we all know, I mean, a software product has a higher margin than a controller, even if controllers is also on a good level. AirTech, impacted by lower volumes, unfavorable product and regional mix as well as uneven capacity utilization. This has been, to some extent, offset by cost and efficiency initiatives. And in the quarter, we had currency headwinds and more specifically, tariff impacts in DCT, and this I will come back to later on. A fair description of how the world looks like right now, variations in between regions and end markets. Americas represents close to 70% of our total order intake. EMEA about 20%; and APAC, 12%. If I divide it in between the different business areas, you can see that DCT, if I start with that, is -- continues to be dominated by the U.S. market, but very pleasing to see that we have started to make inroads into Asia already now. And when it comes to EMEA or Europe, I would say it is not us. It is the European weaker market that is holding our growth in Europe back. AirTech then more even balanced, 44% in AirTech in Americas and about 1/3 in EMEA and about 1/4, 25% in APAC then. And FoodTech then very much American and EMEA focused. Drilling down in Americas, AirTech the market remains soft, pockets though of growth. DCT continued to rapidly expand, led by hyperscaler investments and a drive across the full sector, to some extent definitely AI-driven. FoodTech, a growing market. Yes, avian flu, bird flu is controlled, but a pickup will take, as always, after that type of outbreak, some time to recover. EMEA, a mixed market sentiment across the sectors, competitive price environment when it comes to AirTech. As I alluded to earlier, DCT, slower markets with signs of picking up, focusing on energy efficiency, and that is good for us because we have the most energy-efficient solution there is in the data center market. And FoodTech positive market outlook, driven by increased regulation and push for better practices in this sector. APAC, signs of improvements in China, though continued high competition, Southeast Asia and India also showing growth as markets. Very pleasing to see that we are making inroads into Asia with data center. That is according to the plan, but it's always good to see that you're executing on the plan as well then. And FoodTech, China is not the focus market, but still, we are making inroads into China and Southeast Asia. Moving over to AirTech then. All in all, a stable growth situation in a challenging environment. You've heard me say many times that I have predicted that the battery segment would be in between 10% to 20% in the coming quarters. Now we were at the low end of 10%, and I will come back with some outlooks on the battery and what is happening there later on. Besides that then, about 50% of AirTech's markets do have a slight positive outlook moving forward. So you can see the blue arrows then in about 50% of the total market of what we have today, that is slightly positive. The order backlog decreased, highlighting here that is clean technology generated good growth in the volatile organic compound area, and that has been supported with good execution of the acquisitions we have done. And then in other areas, as I said earlier, that remained at the flat level in all regions, but not at a lower level. This is one of my favorite pictures. And you can have different views on this. If I take it on the long term, I would say that it's a fairly flat, solid demand across the segments. If I go into a couple of other inroads here, one inroad that as you can see, if you compare quarters to quarters, i.e., quarter 3 over the years, I see a small uptick in each and every quarter, and this is a currency adjusted graph then. And then if you see then last year compared to this year, I will also say, in general, a slight up pick on the total of the year, so to speak. But if I summarize this then, battery is still being in this 10% to 20%. Clean Technology continued to slowly increase, creating another leg to stand on and the other industrial, fairly stable, but a weaker investment climate in Americas. And that, I think, is something that you've heard from all industrial companies that it's a damp industrial economy in Americas at current. Moving over to sales then, lower volumes and profitability. I'm not pleased with the profitability that we generated. It has been affected with some not strong enough execution on move of factories and how we have been able to work with our internal areas. I'm not worried about this. I mean I look upon this as a quarter or 1.5 quarters delay on certain of that, but I'm not really pleased with this. The other side of the coin, that is that it is also a continued weak market as such. I would have anticipated that we would have seen somewhat of an uptick then. And all of this is also leading into that we then, as I will talk about later, are increasing our traction on how to reset AirTech for the future. Also very important, something that makes me very proud. That is, how do we drive investments then. Investment -- or should I say, innovation. Innovation can be driven by that we only innovate internally. For me, innovation is more and more about collaboration, collaborative work. This can be done with academia. This can be done with companies. This can be done by co-investing in certain areas. And here, you see a couple of examples where we have, over the last couple of years, made minority investments in different companies to fuel our innovation. Some highlights, ZutaCore, DCT being very, very close to the ship and how to handle that. AgriWebb and Farmsee FoodTech, when it comes to how to drive digitalization and software in different areas. And Capsol, the latest then addition, where we started to invest a little bit more than a year ago, and we have now invested even more. And now we talk about carbon capture and moving forward in clean technology. For me, this shows that we can co-innovate with others not only inside our own house, so to speak. Coming back then to AirTech. We have come to the conclusion, and this is something that is needed to be done that we need to reset AirTech. That means that we will intensify our cost out and how we work with AirTech. The market demand is lower than expected, and I foresee that it will continue to be flattish, especially when it comes to batteries moving forward. So we need to reset AirTech, position AirTech to the right level at current, but continue to keep it ready for a strong recovery when the market returns. What are we doing then here? We adjust on investments. We drive footprint optimizations. We are more selective on where should we then fuel certain investments. We are optimizing the workforce. We are balancing capacity while safeguarding core competencies. And all in all, we expect here to have an impact of some 200 positions globally. We drive increased efficiency. And you may say, I mean, okay, you don't have enough load in the factory, but you continue to drive efficiency. Yes, that is the never-ending story you have to do because when the market returns, you have an even more modern, even more efficient factory layout that can then have a very, very positive drop through on the way down. And we're on top of that also driving our commercial activities to reach out in wider sectors. All in all then, this will generate a net cost saving of about SEK 250 million to SEK 300 million at the end of 2026. It will generate a restructuring charge of about SEK 150 million, the majority taken in Q4 this year and some of it taken in Q1 next year. This is on top of the previously announced cost savings that are delivering according to plan. It is about resetting and be fit for the future when it comes to AirTech. What about battery? As you saw today, we announced a battery order. And I think this is really telling the story about battery sector. First of all, there is a battery sector. It is not dead, but it's a sector where decision processes are taking much longer time. I can take this as an example. This project that we then recently received, we have been discussing, working, talking about this for about a year. And then they put the thumb on the green button, so to speak, and they released it. I think that tells the story about the battery sector right now. We are working with 3, 4 different projects of some 100 million sizes moving forward. But what is clear, what earlier took perhaps half a year to decide, in current capital squeezed market, especially in the automotive sector, that can take up to a year, sometimes even longer. My other point here, that is, we have the best products in the marketplace. Here, we talk about, I mean, you that are nerds, into dehumidification then a minus 78 degrees Celsius. That means that we can extract humidity at a very, very low temperature, a high-performing type of product. All in all, this generated a USD 30 million towards a U.S. battery cell manufacturer and the planned deliveries for mid and end of 2026. Moving over to another reality. I'm so pleased to see that our strategic initiatives, our execution of those, are delivering order intake where it should be. So an order intake that generated a book-to-bill of close to 1.4 in the quarter, orders that we delivered into 2026 -- during 2026 and into 2027. We received it across the full product portfolio. And I think this is something that's extremely important. We have widened our assortment. And even if I'm a little bit biased, I still say we have the widest and in my book, the most competitive product offering in the cooling market of data centers. EMEA did grow, especially driven by CRAHs and service offer. APAC started to show good growth as well. So all in all, when it comes to orders, I'm very pleased. And I'm also looking forward, I'm very optimistic for the underlying market. But as always, some quarters are very, very high in orders and others could be lower. But with that said, I'm continuous very optimistic moving forward. If we move over to the other side then, net sales increased, successful delivery on the backlog, SyCool and CDUs, CRAHs the full assortment something to highlight. This is the last quarter with SyCool, so that will generate some product mix changes moving forward. We generated an adjusted EBITDA margin that continued to be strong. We had some tariff headwinds of 2 percentage units in the quarter. And here, I can say, I'm not happy to have this but I'm not too disappointed either because what we have, that is the most innovative and efficient chiller product in the market. And at current, we cannot produce that in U.S. We are building up capacity here. And I'm happy that we take and receive orders, so this tariff headwinds, I'm willing to eat, and I know that also data center because we gain market share moving forward. So all in all, we invest in strategic growth initiatives. We had solid volume growth in the quarter and also high production utilization. So a very strong quarter in all aspects in data center this quarter. And here, you can see that we are filling up, and this is just examples of publicized orders and other orders of significant size that and how they are delivered moving forward. In summary, you can say the majority of the orders we receive now that is for 2026 and 2027. Now I have to balance here in between trying to explain this is in as simple words as possible. And at the same time, when I return back to the Munters headquarter also get good enough grades from my experts then saying that I was not shortcutting this too much. But if I try to balance that then, liquid cooling is about the full scheme. It is the large loop, and liquid cooling is about dissipation, capture, transfer and release. You can say in simple terms that this consists of 2 different loops. One loop that is in the dissipation that is close to the chip, very, very close to the heat source, that is one loop then. And then you have the larger loop, the loop where we are the market leader in. That is the capture, transfer and release loop then. Let's call one technology loop and let's call one facility rejection loop. And the thing here that is we have all the products in the facility loop and we have the products that creates this plug and play in between. It is the connection in between the CDU and the LCDs that created this link. So I think what we should remember that is when we talk about liquid cooling, it is 2 loops. And those loops are connected, and they work together. And we have solutions to whatever is happening in the technology loop, we can attach and we can capture, reject and transfer it out. And then on top of that, we are also collaborating with the key players in the dissipation area. So I'm super excited about the different technologies that are here, and I'm super proud of what we have delivered when it comes to innovation and collaboration in this area. On another side then, but I'm also very, very happy about that is, I think that we have started to be the trend finder. I think we have started to be the trend setter. I think we have started to be the trend innovator. And what do I mean with that then? Let me give you a couple of examples. We brought to the market SyCool split, the first and very energy-efficient type of non-water coolant solution. We brought new CDUs of never before seen efficiency to the market. And we decided that either we develop the best chillers in the market, or we acquire the company that provides the best chillers in the market, and we decided to do the second. So we acquired Geoclima. We spotted the trends on where they were going, we developed that, and we brought it to the market. And I can tell you that customers are really saying that we are leading the innovation and technology game here. So that brings me to another trend, a trend that is emerging. I call it modularity in a different way. You have heard me talk about modularity many times. Then we talk about components that can be used in different type of products, and that drives efficiency internally. But when it comes to data center, it's another type of modularity. Look upon this as a little bit of Lego blocks that you put together subsystems and then you can build those subsystems. You can have 1, 2 or many together then. This is a trend that will complement other trends. And I can just tell you that we are also trend setters, trend spotters and working actively with the ones that are driving those trends in the market. So once again, I think we are ahead of the curve in this area as well, super excited about this. If I then go into another area, FoodTech. Here, I think we have something that we can really be proud of. We have made a transition of FoodTech from a more classic old equipment driven company to be now a fully-fledged digital and software company. Many, many companies are talking about this change. Here, we have done this. And this is just in the beginning of what this can deliver. So when it comes to order intake, it increased. Software is growing. Controllers, the new acquisitions and what we had inside our own house are generating good order intake. Synergies is worked in between the old controller companies and the new controller companies. And the order backlog increased in a good way. When it comes to ARR, we are continuing to increase in between 20% to 40% quarter-by-quarter. Here, we have decided to show this in U.S. dollar to take away the currency effect because now we have definitely currency headwind. But here, you can see more volume-driven type of increases and apples-to-apples. Super excited about this, and we are just in the beginning of this trend shift then. So what about artificial intelligence? Artificial intelligence are driving data center growth, yes. But what can a company get out of artificial intelligence using it. Let me introduce to our recently new employers. One, Calvin that are driving internal efficiency and one, Clarity that is driving how to work with our customers. Calvin, that is how do we program in a better way? How do we automate? How are we doing code reviews? How are we becoming faster and more efficient in developing software? And I'm amazed to see how much efficiency, how much innovation can be driven by this new employer, asked them. Controllers, the other area, not software. Here, we have Clarity. An agent that is a virtual assistant that is driving training for us, that is driving training for customers, that are generating customer support online and so on. And look upon those, yes, it is perhaps not tens of thousands of customers, but for Munters and FoodTech, there is an increasingly large amount of the users that we have. 1,300 users have joined Munters Academy. We have more than -- close to 200 training videos. We received more than 3,000 inquiries that was answered by Clarity, and we support 20 languages with our new digital-driven agent and Clarity. So 2 examples of what we do with artificial intelligence to drive efficiency and customer satisfaction. With that, I hand it over to you, Katharina, and please take us through the numbers.
Katharina Fischer: Yes. Thank you, Klas. I'm pleased to talk about the continued strong performance for the group. In the third quarter, organic growth contributed with 56% to order intake and 15% to net sales. This was complemented by nonorganic growth of 14% and 11%, respectively. At the same time, we continued to experience negative currency effects of minus 39%. Worth highlighting is also the order backlog, that currency adjusted developed well and then increased about 4% in the quarter. The adjusted EBITA margin remained solid at 13.5%, although lower than prior year's exceptionally high level. Here, data center and FoodTech continued to deliver very strong margins, so really demonstrating operational discipline across the business. As you heard Klas say, the margin in AirTech declined, both compared to prior year and also versus -- slightly versus prior quarter. And this was due to lower volume, unfavorable product and regional mix and then also continued dual site costs for the transition into the new factory in Amesbury, which has taken longer than anticipated and is expected to be fully operational by the end of the year. A key achievement in the quarter was the continued improvement in operating working capital. Here, we have reduced to now 8.3% of net sales. which is well below our target range of 13% to 10%. So this is a clear result of very disciplined work across the organization. Our net debt increased, and this is mainly reflecting then the acquisitions made, debt finance acquisitions and also the higher lease liabilities due to the new facility in Amesbury. Looking at the margin development then. As mentioned, the margin remains solid then at the 13.5%, even though it was lower compared to the high -- tough comparison last year. The different factors then, volume growth for data center and FoodTech had a positive impact on the margin. And for AirTech, it was a negative impact from volume, obviously then. I'm pleased to see that we continue to drive positive net price increases, mainly in data center and FoodTech. We also saw a negative mix impact, both for AirTech due to the higher mix from APAC and also product mix, regional mix from FoodTech. Also then, as Klas has highlighted, we had negative impacts from tariffs in DCT with 2 percentage points, and this is something that we anticipate to remain until the U.S. production of US chillers is up and running then in the U.S. On the operational side, the under-absorption in AirTech weighted on the margin, although there was a positive offset from the high factory utilization in data center. And then it's worth mentioning also that all business areas continue to drive very strong efficiency improvements. We also continue to invest in our strategic initiatives, as we have mentioned in prior quarters, and this has to do with building digital capabilities, system support and further strengthening our footprint across the globe then. And then finally, the currency had a negative impact for this quarterly result. Turning to cash flow then. If we look at the main cash flow movements, cash flow was strong for the first 9 months, although slightly lower than prior year, and this was due to lower -- slightly lower operating earnings and also a less favorable development in working capital. If we look at the individual business areas, data center continued to deliver very solid cash flow, supported by customer advances and strong profitability. And in AirTech, there was a negative cash flow then due to the weakness in the battery market and also the continued under-absorption. If we look at cash flow from investments, you see that the main part there is that we, earlier this year, bought the remaining shares in the software company, MTech, and also the continued investments in the manufacturing footprint and mainly in Amesbury. Also, this slide is showing the continuing operations. If you look at the discontinuing operations, you will also see the SEK 1 billion that we received for the divestment of the FoodTech equipment business earlier this year. And we, of course, continue to maintain a very strong focus on cash management, and I'm very pleased to see the positive effects of all the efforts that we have ongoing to increase operational efficiency and also the capital discipline across the group. Looking at investments then. We maintain a highly disciplined approach to the capital allocation. We focus our investments in the areas that generates the strongest long-term growth and also supports profitable, sustainable growth. In the third quarter, the ratio CapEx to net sales was 3.9%. And if you look 12 months rolling, it was 6.7%, so although the quarterly level was a little bit lower in Q3, in the near term, we expect it to be somewhat elevated above the historical levels, as we continue to invest in automization and innovation and digital capabilities. And an example of this, of course, in the coming quarters, is the ongoing expansion of the Virginia site for data center, where we are setting up chiller production then in the U.S. and also investing in a new test lab. And these investments, of course, strengthen our technological capabilities and also the regional manufacturing footprint. So we are very well positioned then to remain and be able to capture future growth in this area for Americas. Looking at leverage. The leverage ratio was 2.8, which is then unchanged compared to the second quarter. if you compare to Q3 last year, it's somewhat elevated then, and this is due to the acquisitions made recently, and then also the increased liability for Amesbury. And in the coming quarters, I want to highlight that we will be paying some holdbacks relating to some acquisitions made recently, including Geoclima and MTech. And we maintain our ambition to keep leverage within 1.5 and 2.5%. And we are comfortable staying above this level temporarily since this is due to the strategic investments that are so important for us to really further develop our competitive position and support our long-term growth. I also want to mention that we, in the third quarter, issued our second green bond, so now we have more access to the credit market, and we have been able then to diversify our funding beyond the bank, traditional bank loans. Moving to service then. So expanding service is, of course, a key priority across all our business areas. And in the quarter, we had an organic growth of 6% for service. And of course, here, we want to keep our systems running for our customers in a very efficient and sustainable way through the whole life cycle. But of course, also for Munters, it creates stable and recurring earnings base for us. So that is also important. And service is defined as aftermarket service across the business areas and then also the software revenue for FoodTech. Components has also developed well in the quarter. And this is, as you know, sold mainly within AirTech. So here, we have dehumidification rotors and evaporative pads as growth drivers. And the group's ambition for service and components is to be above 1/3 of group net sales. And in the quarter, we were at 24%. And also if you look 12 months rolling, it was on 24%. And then if we look to the individual business areas, you can see that both AirTech and data center increased their service shares. So AirTech is at 22% and data center at 5%. FoodTech here has 21%, which is a decline compared to last year, but that has to do with this year, we have a higher mix of controller sales and they don't have as much service. So going forward, we will continue, of course, to build on our growing installed base and continue to invest in smarter and more connected and even more energy-efficient products that creates value for our customers and make our products even more reliable. And then looking at our sustainability initiatives here. So here, we continue to make very meaningful progress. Circularity is something that is part of our daily operations. And one example of this is the circularity program that we have been running them with Combient Pure. So this is about how we can increase circularity within AirTech with regards to their processes and products. So it's about designing for reuse, recycling and do it more efficiently. And here, we have identified opportunities for even higher materiality circularity with 15% and there is also a possibility then to further reduce Scope 3 emission by developing our service offering more broadly. Just recently, we also announced a very interesting collaboration around innovation. So here, the residues from our rotor production will be reused for plasterboard manufacturing. So this is a really innovative initiative where we will turn waste into new material and really strengthen our regional circular value chain. So I think 2 really good examples within circularity. And of course, this is a continued focus for the group. We will further expand this across the organization, and we will also deepen the supplier engagement further going forward. With that, I would like to thank you and hand it back to you, Klas.
Klas Forsström: Thank you very much, Katharina, and let me then start to summarize the quarter before we move into Q&A then. How are we performing towards our overall financial targets? The numbers that is in the quarter. So currency adjusted growth, 26%, adjusted EBITA, 13.5% and operating working capital, 8.3%. So operating working capital ahead or below in positive terms of the target. Adjusted EBITDA a little bit shy of the set target and adjusted currency growth then ahead of the target. And I think this is very much the pattern that we've had the last -- very often, we have 2 out of 3 then beating or be very close to it. So all in all, we continue to progress towards those targets. If I summarize the quarter, strong performance driven by growth in key industries, predominantly data center and FoodTech. DCT, maintaining a strong momentum, and I said it in the past, and I say even stronger now, I am very confident for the future. We are delivering the right products to the right customers and expanding it to more than just one region. FoodTech advancing on the fully digital business, something that I think has not really brought full attention with one exception. Our customers are very, very interested in this. And then AirTech navigating short-term challenges, building a long-term strength, as I said, resetting it to current circumstances, but then also be fit for the future with very efficient factories, continued strong innovation and an even more focused sales force that's spread out not only in certain categories, but across the different industrial segments. So with that, let's go over to Q&A.
Line Dovarn: Absolutely. Thank you, Klas, and Katharina now. So we are now ready for Q&A session. [Operator Instructions].
Operator: [Operator Instructions] The next question comes from Joen Sundmark from SEB.
Joen Sundmark: Congrats on a very nice order intake in data centers. If we start with the margin there, you talked about tariffs impacting margins of some 2 percentage points in data centers. Do you sort of expect to get those 2 percentage points back once you have the new factory in the U.S. up and running? Or will sort of change mix offset that improvement once we are there?
Klas Forsström: Thank you for the question. So if I divide it into 2 sides then on this coin, as you have heard me say several times, Joen, that is then, yes, we will have a gradual change in the mix, and that will start to intensify next quarter. And then later on then, when we have moved up chiller production and moved it in to be closer to the market, I mean, the mix will start to change back again, the normal pattern. The more we produce, the better it will become, so to speak. So that is the mix movement, so to speak, and that is according to what we have said for several quarters then. When it comes to the tariffs then and here, we look upon it like this. We have a fantastic product that we know that we will start to produce in U.S. first quarter next year. This product is very sought after. So when we sell it, at current, we will send it over from Europe to U.S. That's the reason why we have the tariffs impact this quarter. And I can say like this, if we need to take some more tariffs, i.e., if we sell more, I'm happy to take that for a short time period because that generates market share. When we have the production up and running, I mean then the tariffs are gone and at the same time, they have also become much, much better in producing those chillers. So you can say we balance it out over the long run.
Joen Sundmark: Okay. Very clear. Then as you're talking about more measures taken in AirTech, when you sort of look into 2026 and your ability to reach this 13% to 16% margin range. How confident would you say that you are to reach those levels having both cost measures in mind, but then also combined with the current lower demand situation overall?
Klas Forsström: Also a good question. I mean, the reason why we are driving those cost measures that is, as I said in the beginning, it was a weaker market than we foresee in the beginning of the year. At current, we say that the battery sector will continue to be subdued during the majority of 2026. But with that, and on and off, we may pick up orders, but it will continue to be in the range of 10% to 20% of the total order intake. So that is one thing then. So then we are resetting the organization to be handling that level. What we need to have in order to come up to the numbers that would please me, the 13% to 16%, of course, that is also more volumes. And that is the reason why we are resetting now and with modernization of the factories that we've done and continued efficiency then we will gradually start to move towards that target. But as I said in earlier statements, I think that we now have a prolonged period of somewhat weaker margins then, and that's the reason for the program.
Line Dovarn: We'll take another question from the telephone conference.
Operator: The next question comes from Adela Dashian from Jefferies.
Adela Dashian: Klas, it'd be difficult to limit myself to just 2 questions after today, but I'll try my best. Just firstly, on the book-to-bill in DCT, you did promise a ratio above 1 last quarter, and you did deliver that today. So congratulations to you and Stefan and the rest of the team. Should we expect some quarterly volatility going forward? Or are you interpreting this as a new norm given the very strong market drivers that you're seeing in the market?
Klas Forsström: Adela, thank you for the congrats, and thank you for the question and this is the silver bullet question, I think. My best way to phrase it, that is like this. I see a very strong market that continues for years. I see us having a very, very strong product offer. And then I see customers that sometimes are putting many orders, sometimes are waiting for a longer period. With all that said, I think that we have a strong market, a strong offer and a great team, so I'm optimistic for the future. If I would say a certain level, the only thing I can guarantee that is that I would be wrong. But I'm very positive moving forward. But to predict, I mean, what will come in orders in a quarter, then I should buy me a lotto ticket at the same time then, but I'm positive.
Adela Dashian: Well, this quarter, you were right, so and for my second...
Klas Forsström: And I bought the ticket.
Adela Dashian: For my second question, I'm going to just try to push 2 into 2 and be a bit broader here. On the order book composition in DCT, I believe so far, the majority of the orders have still been for the traditional air cooling. But you do mention some CDU orders here, and I also noticed that the share of indoor units is increasing. So are you entering now a phase where liquid cooling solutions are starting to gain real traction? And then on the, I guess, flip side, SyCool is now diminishing as a share, but we did hear one of your paper partners announce an integrated platform for waterless direct-to-chip, so could this potentially reinstate the interest in refrigerant-based systems?
Klas Forsström: I try to answer this expanded question with one answer as well. The first one, that is that we have now, in my book, the widest product offer when it comes to different cooling solution there is. And we have also, and here I'm biased, I know, but I say it anyhow, the most energy efficient and modern assortment. Our vitality Index for the group is about 40, i.e. of what we are selling, what is -- 40% has an age of less than 5 and in data center, much higher than that. Yes, you're right. We are shifting more and more to what we call them the liquid cooling universe. And here, we have really targeted right type of products. We have 2 different, call it, shifts when it comes to portfolio. One shift is towards the CRAHs that have a weaker profitability. And then we have the CDUs and we have the chillers that have higher than the average of what we have done. We are shifting out the SyCool that had the highest. And then to just complicate this, short term on the chillers, everything we sell into U.S. at current, we have a tariff then surcharge, but that will, of course, disappear. So if I shorten this up, we will have a headwind when it comes to mix on the quarters to come, but that will then gradually turn around when tariffs and more and more production of chillers, et cetera, are driving through efficiencies. So a little bit tougher moving forward, and then it will lease up. That is what I predict.
Adela Dashian: Could you just expand a bit about the SyCool and what the trends that you're seeing and...
Klas Forsström: Absolutely. Here, super excited. I think that we will have opportunities here. But as always, when it comes to this cooling very close to the chip, I mean, the euro is still there, but I'm optimistic for that. I don't see that we will generate short-term billion Swedish krona orders on it, but I'm definitely, call it, looking forward to see orders coming in, in that area. And here, we are unique.
Line Dovarn: Let's take another question from the telephone conference.
Operator: The next question comes from [ Karl Degenberg ] from DNB Carnegie.
Unknown Analyst: So 2 questions from my side. And first of all, on the backlog of SEK 6.6 billion DCT, I just wanted to hear, could you give any sort of quantification of how much of that is for delivery in '26? And a related question to that as well is on invoicing capacity in DCT, I think we had that discussion on the last quarter results again. And that's around, I think you've been at around 1.5% in the revenues in DCT now for roughly 3 quarters. And I just wanted to understand, given the capacity that you're adding and so forth, for '26, '27, what kind of quarterly run rate could you achieve given the capacity additions?
Klas Forsström: If I generalize, you can say, with current footprint in DCT with one exception that I will come back to then, we could definitely without -- if we add shifts, if we tighten the chip to some extent, we could easily deliver 30% more deliveries out of our factories. And then we have one exception, and that is now we are definitely, we cannot deliver much more when it comes to chillers short term from our European setup to U.S. But as soon as we have that up and running, I mean, we will have close to double capacity of chillers also in U.S. And then, of course, we don't have to pay the tariffs on that, so to speak. So we have plenty of room to grow. But in one area, we are short term, a little bit squeezed, but that is according to plan.
Unknown Analyst: Yes, yes, very well. And then I'll maybe take my follow-up on the same topic. I mean I guess the chiller exposure came predominantly from the acquisition of Geoclima, correct me if I'm wrong. And given that you -- I mean remembering when you bought that business, it was obviously quite an addition for the division but given that it has a 2 percentage point impact now on the imports on the margins, it sounds like the growth has been very, very significant since you acquired the entity. So could you say anything, what's the share now? And maybe if you look at your own portfolio, let's say, transformation away from SyCool and so forth, what do you expect the mix to be, let's say, '26, '27 without giving any absolute forecast?
Klas Forsström: No. What I can say that is -- and now I don't have that picture in front of me, but you see the graph there on one of the slides where we have the different components and how that is spread. There you can have some indications. But if I'm a little bit more straightforward, I'm super pleased with acquisitions of Geoclima. I mean it is the world's best chiller, and we have a very strong sales force. So in my book, we have achieved or we have overdelivered on what the chiller sales could generate here. And then according to the plan that we deliver on then to add this into the U.S. setup and then we have an in the region, in the market for the market. And suddenly, we also get rid of this volatility when it comes to tariffs then. And here, I just want to underscore, you can never be happy to pay tariffs. But if I have to choose in between having no chillers, and paying tariffs, I'm happy to pay tariffs because we have the world's best chiller in the market.
Line Dovarn: Sorry, we need to break that, we are running out of time. Thank you very much for that. We do have more callers on the line, but we will reach out to you separately. We also have received some questions here. And I will just finish off with one last question for you, Klas, that you can answer quickly, if you can.
Klas Forsström: I will try.
Line Dovarn: What is Munters' biggest challenges going forward, Q4 and further on, 2026 to 2030?
Klas Forsström: That was a broad-based question. I think that -- and I don't call this a challenge that is we should continue to be on the toes when it comes to drive innovation, when it comes to be very, very close to the customers. And then we need to get best use of our decentralized setup. We have 2 skyrocketing divisions at current and one that has tougher. And that is in the decentralized way. I mean then we handle the opportunities when we are skyrocketing, and we handle the challenges when we have tougher and that is what I think we will continue to work with.
Line Dovarn: Great. Thank you very much. Thank you, Klas and Katharina, for presenting. Thank you, everyone, for listening in. And we will, as I said, reach out to those of you that we did not have time to talk to. With that, thank you and wish you a nice weekend.
Klas Forsström: Thank you.
Katharina Fischer: Thank you.